Nolan Watson: [Call Started Abruptly] from shareholders and in a few minutes I'm going to hand this over to Erfan, who is going to through the finance results in detail and then hand it over to Dave Awram, who is going to walk through a brief update on some of the assets. And normally during a call like this, I would walk through a fairly comprehensive update and answer a substantial amount of questions about the business, but since we -- three weeks ago had a full comprehensive update call on after closing of the Marian transaction, I'm going to be fairly brief here today. So, I will just provide an update on a few things, and those things will be our guidance update, our share buyback status, bit of an update on ETF rebalancing expectations, acquisition plans for the next couple of quarters, and then finally just talk to one slide that I will up here which is a reminder of what the new Sandstorm looks like So, with that, I will start with the guidance update. People can see it. We have increased the bottom end of our guidance, so that our new guidance range is 50,000 to 55,000 ounces. We are pleased with how all of our royalties and streams have been performing. And so, we think we are going to be close to the top end of that guidance. Moving to the share buyback status, we have -- we started buying back shares for two days. We only had two and half days from the time that we actually ended blackout for the Mariana transaction. And then began a new blackout for this quarterly results. So we have been in blackout for over two and a half to three weeks here. And therefore have not been able to buy any shares in the market during that period of time. And the share price performance over the last three weeks which isn't fairly needed, I think is as the result of that, the market is actually hanging in fairly strong and start considering that we issued those Mariana shares. We come out of blackout on Monday in the U.S. and Tuesday in Canada. And we will start that share buyback program I would say fairly aggressively next week. With respect to ETF rebalancing, people will remember that we had a large GDXJ rebalancing when it sold 11 million shares of Sandstorm in one day a couple of months ago. And I think we are about to become hopefully a positive recipient of various ETF rebalancing starting in September. So a number of the EFTs will rebalance in September. And the last time they rebalanced, we had not yet issued the shares into the Mariana transaction. And they are going to have to pick up the pro rata portion of those shares that we issued during the Mariana transaction. We think some of that will be September – October. So we are expecting about 5 -- potentially $5 to $6 million of shares of net demand from the various ETF that follow us starting in September – October. So, I think that’ll be a positive catalyst for the stock when that comes into our goal. For the share buyback, plan is to buy a number of shares in advance so that we are not competing with those ETFs. With respect to acquisition plans going forward because we plan on using the bulk of our cash on hand to buy back our shares, the main focus of the next couple of quarters for acquisition is going to be small royalties. We are in negotiations with a few parties on purchasing royalties. Based on those negotiations, I would expect somewhere between 7 to 10 royalties being purchased between now and the end of the year. And if we are successful in doing that, that will bring our portfolio up to about 173 streams and royalties. And then finally I am just going to speak to one slide here which is a reminder of what the new Sandstorm looks like. This is an analysis of who our counterparties are and how strong they are over time. And you can see that in 2010, 100% of the ounces attributable to the Sandstorm came from junior mining companies. And everyone here is aware we have been working very hard to change that. Currently in 2017, that number is now 71% majors and mid tier. And based on Cerro Moro ramping up by 2019 and Hot Maden coming on in 2021, we expect that majors and mid tier counterparties will account for 95% of the ounces bought or sold. What’s more is that in 2022, we anticipate an all in sustained cost at our partner level, i.e., the cost that our partners take to produce gold being approximately or below $600 per ounce. That is an incredibly low all sustaining cost across the portfolio and would put us as the second lowest cost ounce producer out of all the streaming royalty companies in the world. And that’s traditionally been one of the knocks that Sandstorm is. People who looked us at last in 2010 and have now looked Sandstorm since then would say, oh, yes, Sandstorm is a junior mining streaming royalty company that has high cost producing ounces from its various counterparties will now be the second lowest cost producers. And 95% of production will be from majors and mid tiers based on what we bought so far. The Sandstorm has been completely and holistically transformed. The reason we are buying back our share we are very bullish on the company. And we are pleased that we had a strong quarter this year. And we are looking forward to the future. And with that, I am going to hand it over to Erfan. And Erfan is going to go through the detailed financial results.
Erfan Kazemi: Thank you, Nolan, and hello everyone. One of the features of the Sandstorm business model that I often appreciate is the fact that once we make an investment in royalty asset, our team is not tied up with ongoing effort required to develop and operate the mine. To put that advantage in context, during the second quarter, a significant portion of our time was directed to closing Hot Maden acquisition. But in the background, we have 20 producing mine generating gold equivalent ounces to Sandstorm, requiring no going management on our part. And in fact, we were able to focus our energy on closing a transaction that has transformed the growth profile of the company while passively collectively royalty tax from our partner. We have a great business that allows us to always be looking forward. I am going to take a few moments to walk you through the quarterly financial highlight. And overall, I would describe the second quarter as a steady one. We recorded 12750 gold equivalent ounces which is the third highest total in company history. The production number was slightly higher than Q2 2016. And as you can see on Slide 6, about 18% lower in the first quarter of this year due to fluctuations in production in mine and the timing of shipments. Our average realized selling price per ounce of gold was $1260 during the period, translating into 16.1 million in total revenue. Over on Slide 7, you can see the revenue broken down by metal. Seventy nine percent was generated from precious metal and diamond sales. And the rest was base metal and other commodity. When looking at the revenue segment by region, you can see the Canadian operation contributing 37%, and the rest of North America primarily being the U.S. and Mexico chipping in 25%. The balance of the quarterly revenue is from mines in South America and other countries and their contribution was 51% higher than in second quarter 2016. Increase is primarily due to an additional 1200 or 1342 gold equivalent ounce delivered in the Yamana silver stream and Chapada stream. The increase was largely related to the timing of shipment. One item worth noting is that under the terms of the Yamana agreement, the time period over which the calculation of the maximum threshold for delivery was abide. Previously, these maximums were calculated on a monthly basis and a final annual calculation was followed to ensure we received a contractual annual amount. This has the effect where some month greatly exceed the maximum, and other months falling significantly below that threshold simply due to a function of the timing of shipment. This would result in the quarter delivery underestimating our true attributable production. With the contractual revision, the production thresholds are now being calculated on a quarterly basis as opposed to monthly basis, thereby reducing the variability of delivery and annual true-up. Moving on to Slide 8, you’ll notice that we recorded average cash cost per equivalent ounce of $290, meaning that on every gold equivalent ounce we sold, we made about $970. After deducting tax expenses, our cash flow from operations was 11.1 million in Q2. And when you add the last four quarters of cash flow, we brought in more than $43 million since July 1st 2016. Strong free cash flow coming in for the company has allowed us to complete a number of steam and royalty transaction while maintaining healthy balance sheet. One item worth mentioning relates to the cash on our balance sheet. As of June 30th 2017, you’ll notice that we had 51.9 million of restricted cash. This represents the amount of cash we place into escrow for the Mariana transaction. However, only 47.3 million was ultimately paid out in consideration under the acquisition. Therefore, the difference of approximately 4.5 million was returned to the company just after the acquisition became effective in early July, is now included in our cash balances. So you can see we have strong cash on our balance sheet, no debt, putting us in a position to continue our rapid pace of growth and to buy back shares in the market. At the bottom of the chart in Slide 8, you can see that we booked a net loss of 1.9 million in the period. The loss was due a number of factors including a $4.5 non-cash impairment charge relating to the Coringa royalty and a 0.5 million non-cash increase in depletion expense driven by an increase in the number of gold equivalent ounces sold. On Slide 9, the quarterly and half year comparison or cash flow from operation. You’ll notice that we see nice growth year-over-year with the 24% increase compared to the second quarter and the first six months of 2016. I'll end up with the presentation as an update to our annual guidance as Nolan mentioned, we raised the lower end of our guidance and are now forecasting between 50,000 and 55,000 attributable gold equivalent ounces for the 2017 year. With the addition of Hot Maden we see the production growing to approximately 130,000 gold equivalent ounces per annum in 2022. With that, I will turn things over to Dave.
David Awram: Thank you, Erfan. On our today’s call, I’m going to give updates on couple of our upcoming producers and then spend a little bit of time discussing the success of some of our exploration stage royalties which is an really prolific part of our business plan. So on Slide 11, we will start with Yamana Cerro Moro, which is quickly moving towards production and commission in 2018, Yamana recently disclosed in their quarter update that the project is slightly ahead of schedule and is active in wrapping up development. In addition to being well underway with construction, they've hired the bulk of the onsite senior management and are planning the recruiting of the local post construction work force, they've completed substantial underground development with close to 450 meters completed this year and they're still on track to spend $178 million in 2017. However what is most exciting for Sandstorm is the amount of exploration dollars dedicated to Cerro Moro, in 2017 alone there is $8 million budget for drilling and 35,000 meters planned. Yamana also has an ambitious four year plan of drilling with the goal of expanding the mine life to greater than 10 years, so far that plan includes 35,000 meters of sculptural and an additional 89,000 meters of follow up and infill drillings, remember that Cerro Moro land package is greater than 22,000 square kilometers and Yamana has just begun to scratch the surface of this project. On slide 12, I'll speak a little bit about the new feasibility study released on Aurizona, as many of you listening today know Sandstorm has had a tremendous amount of success in this project to date and now under the new management, we are seeing a little clearer how this project will continue to provide value in the future. This slide is illustrating some of the key metrics of the feasibility study, of particular interest to us and Sandstorm is average gold production per year of 136,000 ounces and all-in sustaining cost of just over $750 per ounce which demonstrates the value of this project. Christian Milau and David Lange along with their team at Trek have been hard working to revise the permits and get their ducks in a row to get this promising mine back into production, Sandstorm has always been a proponent of the geologic aspects of this project and it is great to see this capable and cohesive team push it forward, the Trek plan on this asset demonstrates strong economics and they work collaboratively with the regulators to rectify permit problems and formulate a comprehensive plan to operate Aurizona starting in late 2018. As a reminder, Sandstorm owns sliding scale NSR of 3% to 5% depending on the gold price on this asset and then a 2% NSR on the Aurizona greenfields to the south. As with Cerro Moro, much the story here lies in the exploration potential. On Slide 13, we see a math illustrating the main trend of mineralization, in the center, see the existing Piaba Pit in the darker pink color but notice the extent of the geochemical gold anomaly in the lighter pink shaded area. Recently Trek has disclosed impressive drill results in Piaba West, extending the pit mineralization by over 350 meters so far, within a satellite transitional and the fresh rock. As you can see that chemical trend extends further west onto the Tatajuba exploration license for an additional four kilometers, Trek and its predecessor companies have not yet begun drilling here as they wait upcoming permits, this is a part of the Aurizona story that we hear Sandstorm have always been anxious to be revealed and it looks like over the coming season, Trek will finally be able to drill this area and the expansion of the geochemical anomaly to north east at Genipapo. So, one aspect that we have had excellent success over the last year as Nolan was talking about earlier is supporting high quality exploration projects, for us this often involves purchasing royalty and a right of first refusal on future royalty and streams on some of our favorite emerging exploration stories. On top of that, we often purchase a small portion of equity to help accommodate the financing requirements of those partners, this has been a winning combination that we continue to deploy, one such of those stories is on Slide 15 with Erdene Resources, over a year ago we made an investment in Erdene based on the success of their initial drill program at the end of 2015, since then Erdene has continued success drilling and has defined a 1300 meter by 500 meter mineralized trend at the main target area Bayan Khundii open in most directions. Looking at the map on the right, you can seen main areas mineralization Gold Hill, Striker and Midfield, through drilling these zones they have already connected and are receiving infill in drilling, you can also see the North East Zone is emerging as a successful target. In addition to this trend of established mineralization, those dash shapes surrounding the trend represent geophysical and geochemical targets they're mostly untested, there's a lot of potential still to be revealed at Bayan Khundii alone and Erdene is designing an aggressive drill program to help reveal that potential, however this target is just a small portion of the overall property and I draw your attention to the map on your left which shows Bayan Khundii to the South east, still to be drilled this year is the Altan Arrow project five kilometers away and the Altan Nar project 16 kilometers away, both of these targets have had impressive initial drill results and we redeem only halfway through their 2017 drill program, I anticipate many excellent future drill results. The other exploration company I would like to highlight is Tower Resources based out of Vancouver B.C. We hold royalties right to first refusal on future royalties, the streams and buyback rights to existing royalties on three very prospective projects in the province. The most relevant today is the Rabbit North copper gold core free target located in Southern B.C. On Slide 16 you can see this project is in the right neighborhood just outside the city of Kamloops. 14 kilometers away from New Afton and less than 30 kilometers from Texas Highland Valley copper gold mine. This fairy land large land package has had little to no work over the last several decades despite being in such perspective territory. Tower was able to get a great deal on the asset and last year they finally were able to get the drill onto the target with some good initial results earlier this year whole 15 on the project has revealed the best results today with almost 250 meters at 05% copper and 0.34 grants for ton gold. These grades are comparable to the highest quality pour free deposit to B.C. So as they restart their drill program this fall will eagerly await further results. In the meantime tower continues to complete work on the early stage of promising project in the Golden Triangle called More Creek and the very interesting Blackwater type target South Vanderhoof called the project. Personally I'm very interested in this prospect and I'm happy to see that it will receive some drilling later this year. So if you're further interested in reviewing some of the more interesting projects in the industry I encourage you to visit the Erdene and Tower websites for more information. So with that, I'm going to turn it over to the operator and we'll begin the question and answer session of the call.
Operator: Thank you. [Operator Instructions] Your first question comes from Dan Mullins, RBC Capital Markets. Dan, please go ahead.
Dan Mullins: Yes. Thanks very much and good morning everyone. I was wondering -- two items, first of all, Nolan I was wondering if you can confirm when you expect to see a pre-feasibility study or feasibility study level on Hot Maden delivered by your partner Lidya?
Nolan Watson: Yes. So right now we're expecting that the bulk of the work will be done by the end of the year, and it might be first month or two of next year that we will have that out. So, Q1, 2018 we should have a copy, and because it's a material property for us, we will also have to file a 43101 report on Sandstorm profile on SEDAR.
Dan Mullins: Okay, perfect. And then just on the -- obviously you’ve done in the Hot Maden deal, congrats on getting the over line and getting in portfolio. I was just wondering there's been a lot of discussions and chatter on the streets and then in the news flowed at from new players coming into the royalty pace, obviously they’ll have a -- they'll be competing sort of potentially in your bracket for opportunities. Are you seeing more competition from these smaller entrants in the space right now?
Nolan Watson: Not yet. We’ve seen a bunch of small guys that are undercapitalized and don't really have the capital to compete with us. The only deals that we're seeing done in the small end of the spectrum by other small royalty companies are doing it where it's a strategic transaction that's happening where they're paying with shares of their own company. The vast majority of royalty sellers do not want because sell it for illiquid paper in another company. And so, they can't compete with us on most transaction. So, right now our real competition is the traditional guys that it's always been, plus the equity capital markets, plus the debt capital markets, and I would say debt is still tightened fairly expensive, the equity capital markets is probably -- you probably will know are somewhat working but are definitely not robust by any search of the imagination. And so, I would say a competition is probably normal right now.
Dan Mullins: Okay, and that's when the opportunity set out there, there's obviously there is some small opportunities you discussed on the royalty side, but from the larger potentially royalties streaming opportunities that there, what sort of the bracket are you looking at right now potential deal flow?
Nolan Watson: Yes, we’re looking at deals anywhere from $200,000 all the way up to $200 billion a figure that we if it's assets is currently producing are seem to be producing we could do that without having to raise equity by extending our current credit line. And pro forma for that transaction and we're not looking to raise equity at this point in time but we think we can do larger deals Having said that finding quality larger deals is challenging right now certainly undeveloped and projects there are very few good assets in the world that are planning to be developed. And we have diligence to couple of them in there, they're not as good as advertised so, finding actual quality things is the hard part of the job right now.
Dan Mullins: Okay, great, thanks very much throughout the rest of the summer, guys.
Nolan Watson: Thanks.
Operator: Thank you. [Operator Instructions] There are no further questions at this time. I will now turn the call back to Nolan Watson for closing remarks.
Nolan Watson: Thanks everyone for calling in. I know it's a busy time in year with all the quarterly earnings so, all of thanks, appreciated and have a great day.
Operator: Thank you. Ladies and gentlemen this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.